Mark Coombs: Good morning, everybody. Thank you for coming. Ashmore Group First Half '26 Financial Results. Anyway, so here's the overview. The market has done pretty well, and we've done okay as well. Generally, EM is doing really what we'd expect it to do, which is outperforming developed markets. We're at 82% of our assets outperforming in the 1 year, which is good. We're comfortable with that. Our flows have gone up, which is great. So 10% increase in assets under management over the half, which gets us to about $52 billion. Net inflows of $2 billion. Subs up 35%, reds down 39%. So things moving in the right direction -- or the other way around, 39% subs, 35% reds. Our statutory profits. Revenues are down year-on-year due to lower average AuM and reduced performance fees, which you would expect. We try and keep our costs as tight as we can despite inflationary environment. Our investment performance on our seed has been strong. That's delivered GBP 55 million of gains. PBT, up 64% to GBP 82 million. Diluted EPS, up 90%, basically, to 10p. Dividend per share, maintained at 4.8p. Strategic stuff that we're doing is working, which is nice. Equities AM continues to grow steadily as it has throughout the last 5 years, up 17% to $8.8 billion, which is 17% of group assets now. And local offices are also growing, up another 8% to $8.4 billion, which is 16% of group assets. Those two trends we expect to continue. Steady growth in those places. Macro for us is pretty good, and we think that will continue. So economic growth is pretty solid in the larger EM economies in particular, which is where we see the most interesting things going on. Pretty high rates and steady deflationary pressure being exported from China, we think, allows for further easing. Dollars, we don't think get any stronger from here. Geopolitics are a drama, but they've often been a drama and in some ways quite good for EM. And a lot of opportunities across the piece. So we keep thinking active as a way to go. Sitting on an index, you guarantee yourself a problem at some point. Update on the performance in particular. Obviously, dollar weakness -- dollar collapse isn't great, but dollar weakness is good for us. It's a tailwind. So good absolute returns in '25, better than DM, as I said. The indices are on the right. So ignoring us, this is just the indices. So the dollar was down 10%; the MSCI World equity index was up about 20%; and EM Equity was 30%; and Frontier, 40%. So strong equity outperformance. And then on global bonds. Global bonds were about 5% or 6%; external debt was about 12%, 13%; and EM local currency was about 20%; and corporate was just a little bit better than DM. So across the piece, index, no judgment required. Better year for the 12 months on December '25 in EM over DM. What else is going on? U.S. tariffs are what they are, generally inflationary and not positive for global trade. But what it has done is push intra-EM trade up quite a lot, and we see more of that coming. If anything, more intra-EM reforms and progress in terms of making stuff easier to do, which I think is great. Geopolitical risk has calmed down a wee bit until it hasn't. But a lot of the drama is out there and people are aware of it. Currency generally has underpinned equity and local currency in particular, and we're seeing that in terms of client appetite, too, continuing appetite for local currency bonds and for equities. Spread compression helps. Developed markets, I think we all know the problem, right? Lots of debt, fiscal deficits, politicians trying to issue paper to kick the can down the road, valuation is expensive and policy uncertainty. Just summarizing performance for you. We like to do this just to give you a sense. As you know, we split between global and local businesses here. These are the main themes. So the 1 year, we're up. 82% is outperforming, which is good. We're happy with that. The good news is we're also outperforming where we see most of interest in raising capital, which is in local bonds and in equities, both global equities and actually local equities. So that's good to have. So overall, as a group, we're now up above 80%; 3 years at 70%; and 5 years at 58%. That's a very strong recovery from '21 drops out. But this is not an issue. This is all salable. I think this is Tom.
Tom Shippey: Thank you. Okay. So starting as usual with a high-level financial summary for the period: characterized by strong investment performance, continued operating efficiency and, consequently, strong growth in statutory earnings. Adjusted net revenue was 16% lower year-on-year, reflecting the impact of reduced average AuM levels and lower performance fees compared with a year ago given fewer asset realizations from the alternative vehicles in this half. Total operating costs marginally increased by 1% as we continue to focus on operating efficiently across the group's global network of offices. And variable remuneration was accrued at 32.5% of pre-bonus profit. Consequently, adjusted EBITDA of GBP 20.9 million delivered an operating margin of 31%. The combination of strong markets and Ashmore's investment outperformance mean that the seed capital portfolio generated pretax profits of GBP 55.4 million, leading to a 64% increase in profit before tax to GBP 81.9 million. Therefore, diluted EPS rose 89% to 10.1p per share. And excluding the seed capital returns, diluted EPS was 3.1p. The balance sheet remains well capitalized and highly liquid with excess financial resources of GBP 480 million or 67p per share. And finally, as Mark mentioned, the Board has declared an unchanged interim dividend of 4.8p per share. Looking at the local offices. During the half, we've continued to develop the network in key emerging economies. These businesses are exposed to high-growth markets and also provide real diversification. It's been demonstrated again in this period. Looking at each office in turn. Ashmore Colombia delivered 16% growth in AuM, reflecting strong absolute and relative performance in its listed equity strategies. During the period, the business broadened its product offering with the launch of a regional LatAm equity strategy and has been investing the most recently raised private capital in infrastructure debt and private equity. Ashmore Indonesia had a notable increase in new client flows as the broader market environment improved and retail distribution initiatives were implemented. In Ashmore India, the team's high-quality, long-term performance track record continues and the near-term focus is on deepening onshore distribution access for retail investors. And finally, while Saudi Arabia had some institutional redemptions early in the half, the business continues to diversify with the launch of a second private equity fund focused education and is also broadening its client reach through the use of digital distribution. In terms of the two newer offices, Ashmore Qatar is now fully operational, supporting the group's investment management capabilities in the region and deepening local institutional relationships. And regulatory approval for Ashmore Mexico is anticipated shortly, allowing the team on the ground to exploit the growth opportunity arising from recent pension reforms. Alongside continuing to build scale in the existing local operations, we'll continue to look for opportunities to expand this network over time. In terms of the aggregated financial performance. Management fees were broadly in line year-on-year while performance fees were lower, reflecting the successful realization of alternatives investments in Colombia and Saudi Arabia that generated performance fees of approximately GBP 7 million in the prior year. While asset realizations from the older private equity vintages are ongoing, meaning that performance fees are possible, the timing of these is inherently uncertain. The implementation of a consistent global operating model means that the local businesses achieved a 45% EBITDA margin and delivering increasing profitability as assets under management locally grow. Looking at the group's assets. The total of $52.5 billion increased by 10% over the period driven by Ashmore's investment outperformance, which added $2.6 billion and net inflows of $2.3 billion delivered across both global and local businesses. Subscriptions increased by 39% year-on-year to $5.7 billion, reflecting higher client engagement levels over the course of '25, an increasing recognition that EM is outperforming the attractive absolute and relative valuations on offer, and therefore, a realization that global portfolio allocations need to change. The subscriptions was broad-based and includes both the funding of new client mandates, notably in equities, external debt and blended, and existing clients increasing allocations across the group's range of fixed income and equity strategies. Client demand was also geographically diverse with equity flows from European clients and Asian clients allocating to sovereign fixed income strategies. There are also encouraging signs that U.S. investors are now considering reallocating away from their home market. Reduced redemptions also contributed to the net inflow with a 35% decrease year-on-year to $3.4 billion in the half. Indeed, this is the lowest half year redemption level since 2010 and reflects the latter stage of what has been a reasonably lengthy EM flow cycle. Looking forward, Ashmore has started 2026 with a healthy client pipeline, reflecting the positive market environment of recent years, the outperformance being delivered by Ashmore's active investment management and a growing realization by investors that emerging markets warrant a higher allocation. The caveat as ever is that the timing of funding can be uncertain. Turning now to revenues. The year-on-year decline of 16% is attributable to a 3% lower average AuM level and reduced performance fees compared with the level delivered from asset realizations a year ago. Net management fees were 9% lower year-on-year at GBP 62.1 million with the movement attributable in roughly equal measure to the average asset level, an FX headwind from a stronger sterling and an average fee margin that is 2 basis points lower than a year ago. The year-on-year movement in the management fee margin is entirely due to the full run rate impact of flows in the prior year period, i.e., the 6 months to December 2024. The reported margin in this half of 34 basis points is unchanged compared with the 6 months period to June '25 and was broadly stable over the period. Management fee margins at the investment theme level were also relatively stable with the exception of alternatives, where the first half margin was impacted by the return of higher margin capital to investors, coupled with the investment cycle of recently raised private debt capital that is not yet earning full run rate management fees. On a pro forma fully invested basis, the alternatives margin is approximately 110 basis points. As mentioned, the first half performance fees of GBP 0.8 million are lower than the prior year period. I continue to forecast up to GBP 5 million of performance fees in the current financial year excluding any contribution from alternatives realizations in the second half. And finally, other income of GBP 4.6 million increased due to the generation of transaction fees in the period. I would expect this source of revenue to revert to more normal levels in the second half of the year. In terms of operating costs. We continue to operate an efficient business model globally, and total operating costs of GBP 48.3 million were broadly consistent with the prior year period. There was a modest increase in salary costs to GBP 16.1 million, primarily reflecting recruitment in the group's local businesses, including the establishment of the new office in Mexico. Other operating costs were reduced by 2% to GBP 10.9 million notwithstanding the preparations for moving to a new London head office at the end of fiscal Q3. The VC accrual of 32.5% is consistent with the prior year range of 30% to 35% and in absolute terms means a charge of GBP 19.8 million, 1% higher year-on-year. As in previous years, realized life-to-date seed gains of GBP 14.8 million and interest income of GBP 6.8 million are included in the calculation of the VC accrual. Given neither life-to-date gains nor interest income are included in EBITDA in this period, this has had the effect of reducing the operating margin by approximately 10%. Looking to the second half, there will be a slightly higher noncash depreciation charge reflecting the cost of the new London office lease. But overall, I expect full year non-VC operating costs to be approximately twice the first half level of GBP 29 million. The group seed capital program is now well established and has meaningful scale to support the diversified AuM growth and deliver attractive through-the-cycle returns to shareholders. Seed investments now have a market value of GBP 391 million with mark-to-market valuations in the period benefiting from both positive markets and Ashmore's outperformance. In addition to the GBP 391 million, the group has made commitments of GBP 81 million to funds in the alternatives theme, which are likely to be drawn down over the next few years to facilitate growth in Ashmore's thematic private equity and private debt strategies. Given that many of the current seed investments have delivered positive returns and provided appropriate scale to funds, I would expect the successful realization and recycling of existing seed investments over the coming periods to largely fund these additional commitments. While the primary goal of seed investments is to support growth in third-party client AuM, over time, the program has also delivered meaningful profits to shareholders. In this period, the impact was a GBP 55.4 million gain, of which GBP 9.6 million was realized in the 6 months. In terms of new investment activity, a total of GBP 38 million was invested in the period to support growth in private equity strategies, notably in the Middle East, and to establish new funds, including the regional LatAm equities product I mentioned at the beginning. Realizations of GBP 47 million were achieved principally through matching client flows into ceded equity strategies and following the return of capital by alternative vehicles. On a life-to-date basis, these realized investments have delivered GBP 14.8 million of gains. Finally, on the P&L. Interest income of GBP 6.8 million reflects lower average cash balances, in part, reflecting the incremental seed investment activity in recent periods and prevailing short-term interest rates compared with the prior year period. The effective statutory tax rate of 13.6% is relatively low compared with the guidance of approximately 22%, largely due to mark-to-market equity gains on the seed book not being subject to U.K. corporation tax. On an operating basis and taking into account the geographic mix of the group's profits, the effective tax rate remains around 22%. Turning to the balance sheet. Ashmore has total financial resources of GBP 573.6 million, which compares with its total capital requirements of GBP 93.3 million. That means that the group continues to operate with a meaningful level of excess capital, equivalent to 67p per share. The balance sheet remains highly liquid with GBP 261 million of cash at the period end, and approximately 2/3 of the seed capital investments are in funds with frequent dealing opportunities. The group's cash position is, however, relatively low with the recent levels given the seed activity. And from a cash flow perspective, the first half typically see significant payments related to the prior financial year, namely, the final ordinary dividend paid in December and employee variable compensation paid in October. Additionally, in the last 6 months, the EBT has purchased shares worth approximately GBP 14 million. Operating cash generation tends to be stronger in the second half of the financial year, and total cash will continue to depend on the balance of seed capital investments and recycling achieved. And with that, I'll pass you back to Mark.
Mark Coombs: Thanks, Tom. Thank you very much. So outlook from here. I think things are pretty supportive actually from what we're up to. Absent some global war, I think things look pretty good. So on the right, we just talk a bit about bond yields and also how equities are doing. And if you look at the bond space, those 3 lines are CPI, so inflation, real yield and actual yield. And as you can see, real yields are really pretty good in terms of EM. You've got positive real yields, inflation low, if anything, declining, but let's say, worst case, flat. So there's plenty of room for EM to cut rates. But even if they don't, you've got nice positive real yields. And so we're seeing that in terms of client demand to buy local currency and local currency bonds in particular. And then on the equity side of things, after about May, June in the year we've just had, significant index outperformance over the S&P, and if anything, started at the end of Q1. And we would expect that should be able to continue. Although there has been, as I say, a significant performance to this point, but the EPS story is still good and recovering in EM. So as EPS improves, share price performance tends to continue to follow it. In terms of policy and things for the year ahead. Yes. China is obviously China and definitely going to continue to export deflation, which may give other challenges, et cetera. But that is definitely the game. So inflation should remain low in China and they should export deflation, so relatively stable growth. They have one thing probably now that they still have to fix and they're struggling to fix, which is the property market and generating sufficient youth employment for these large numbers of people coming out of university every year. But it's feeling relatively stable in terms of their outlook from here. This is one of those years that's a big election year for EM, which tends to provide reasonable opportunities for us. Everybody lies to get elected and EM is no different from anywhere else. And so I'm looking through the noise. It tends to be quite a good time to take some risk through the first half of this year. The trick is don't get carried out in a lot of bad headlines and start acquiring risk -- subject to price, of course, but start acquiring risk at pretty good prices midyear with a view to election tending to usually be back end or mid- to back end of the year or late half 1 through to late December time. So a lot of LatAm elections. And that tends to be, as -- as I say, we've quite like years like this. We tend to get a little bit of negativity around headlines and then you tend to get a chance to buy risk. So we quite like years like this. This tends to be a good time for us to add risk to make quite a lot of money in the year after. The only thing against that is if nobody lies or nobody says anything controversial. But I think we are going to get some noise around LatAm elections in particular. Monetary policy, I think, is going to get looser. As I said, high real rates and inflation under control, so I would expect to see rates continue to get cut in most places. I don't really see dollar strength being a drama. You're going to get moments of strength but you're going to get generally a selling trend. Just huge net liabilities in the U.S. and everybody is so long on the dollar. And the way people are talking to us about what they want to buy, it's mostly nondollar assets. So it's noise around the edges, but it's the right sort of noise in terms of dollar softness. And the policy mix plus what the Fed is up to, I think, is going to continue to do that. And then AI is going to be deflationary, probably. I suspect you're going to get bottlenecks around the ability to turn massive spending into actual productivity gains. You're going to get bottlenecks in terms of the kit being available when you want it, where you want it. But at the margin, you would expect it to be deflationary. So that's kind of the macro outlook. Summary from where we're at. A reasonable half for us. It's a good market. We outperformed. Flows are better, so increased AuM. That's nice. Flows will be two ways for a while. It always happens like that. It comes down, then it kind of bubbles along, then it goes up. So we're at a point where we should see gradually drop -- this was a huge drop in redemptions. Redemptions never go to 0. So you'd expect to see redemptions fly around a bit but generally lower. The trend is lower. And subs, definitely, given what we're seeing in the pipeline, you'd expect to see that to continue to improve. Staff profits have been up. That's good. What we're doing strategically in terms of growing the local businesses and equity businesses, that's continued since '22 all the way through. We expect them to continue to grow and to change and particularly those things. And then macro, I think, is pretty good for us. There's a relative value story but there's also an absolute value story. So that's the broad picture. Very happy to take questions. I'll actually do that. I think that's right. I don't want to make -- I've realized I'm already standing up. Well, that was easy. Thank you, Mike. Let me help.
Michael Werner: Mark, just two questions, please. First, really good progression in fee margins over the past 6 to 12 months. Are you guys still guiding to on a like-for-like 1 to 2 basis point decline, I think, it's every 12 to 18 months? And then on the second question. Really, as you mentioned, redemptions coming down, subscriptions up. How does that pipeline feel in terms of your ability to kind of repeat what we saw in Q4 in terms of flows of around $2 billion or so ex the liquidity?
Mark Coombs: Do you want to deal with the first one?
Tom Shippey: Let me do the first one. So yes, as you know, the basis point every 12 to 24 months is the best guess having taken out the things that we can calculate that have driven any other move in terms of mix or size of product, et cetera. That feels like it's about right, but it's still a best guess. The market is still competitive. There is industry-wide pressure on margins. We think we're in a relatively protected part, but we're not immune to the competition or the margin erosion by osmosis. Where people get a good deal somewhere else, they tend to come to us and say, can we get a better deal? So that basis point also feels about right. But as we've seen in this period, things can stabilize depending on mix and the retail flow and what we're getting in the locals, et cetera.
Mark Coombs: Yes, exactly. It's a best guess. I mean, as the local business gets larger and as the equity business gets larger as a percentage, that kind of helps because fixed income tends to be priced generally cheaper. Huge sweeping statement around the world. And alternatives tend to be priced higher, too. So as all those things are growing, that all helps. And the other question was?
Tom Shippey: On the pipeline.
Mark Coombs: Pipeline, yes. The pipeline is, I think, the last time we spoke, it's probably better than the last time we spoke. There are more people -- it also tends to feed itself a bit. As people see this happen, they tend to sort of start saying, oh, maybe we should do better than that. Unfortunately, everybody follows somewhere. So pipeline, I would say, is better than the last time we spoke. If the pipeline was 10 at a screaming raging bull market, everything is fantastic, and it's 1 when the Russians invaded, it's probably 5. And last time we spoke, it was probably 3. Again, I'm hoping I said it. I meant to say that if I didn't. Reds will be -- fundamentally, they're trending lower. There's no question. But individual clients will have things they want to be doing. So you can't really -- that's a huge drop in reds. And so we thought, well, isn't that nice? But I wouldn't guarantee that drop every time. Yes, looking at the mic. Great. Self-help, I love that.
Laura Gris Trillo: This is Laura Gris Trillo from Jefferies. So I guess on the back of Mike's question, I'm just wondering in terms of the differences you're seeing in the pipeline for institutional versus intermediary channels and also in terms of new client mandates in EMD versus top-ups. As I understand, top-ups are normally like easier to come around because clients need to do due diligence. And my second question is on the local platforms. I've seen you have had a drop in revenues year-on-year and also a decrease in EBITDA margin. So any context on that would be very helpful.
Mark Coombs: Do you want to do the second one?
Tom Shippey: Should I do the second one? So yes, that's entirely...
Mark Coombs: I might forget the first one.
Tom Shippey: Yes, okay. I'll remind you when you're ready to go. So on the locals, the drop in revenue and the margin, entirely due to fewer performance fees. So we realized some assets in LatAm and in the Middle East at the beginning of the '25 financial year. It's about GBP 7 million in total. That's in the first half. So underlying management fee is broadly in line. And the margin, that sort of mid-40s to 50% is kind of where we would expect the aggregate to be and growing hopefully from there as scale comes through.
Mark Coombs: And then on flow, I think you're talking about institutional over retail and existing client over new, and I guess, by product set. So in terms of institutional over retail, it's mostly, I would say, yes, we're seeing flow in retail kind of begin to move a bit. And retail is often ahead of institutional, but it's not dramatic. I would say steady retail interest in equity, and that is a mixture of U.S. and other. Sporadic retail interest in local currency and some in investment-grade dollars. But if retail -- again, if 10 was everybody was crazy and happy and delighted and 1 was they never did anything, I think retail, we're kind of still 2, 3. There's a lot of retail still sucked into the U.S. market. Institutionally, it's definitely, I would say, a stronger pipeline. And then I think the second part of the question around that was around the split between new clients, new target type things and existing top-ups. Using the last quarter as an example, it was about 50-50, I think. Is that about fair? But I would say the top-up clients are the ones you feel you'll -- again, fortunately, we have a bunch of clients who we've had for a while. And a lot of them are still at 1 out of 3, having gone in '22 or '23 from 3 down to 1, let's say. A lot of them are still at 1 but we've just seen some of those start to go back to 2, just beginning, I'm talking about. So it was 50% roughly of what happened in Q4. And it was a few people going back to 2. But they're not in any way -- not that many people either. New client activity is the rest of it. And I would say the pipeline is more new client than top-up at the minute, and it's more geared to equity over fixed income at the minute. But that's the kind of general statement that will be proved wrong in 6 months' time. But that's just my sense of the last couple of few weeks of conversation and RFPs. Does that cover all the questions?
Laura Gris Trillo: Yes.
Mark Coombs: Great. Thank you.
David McCann: Dave McCann from Deutsche Bank. A couple for me, please. So first of all, on the variable comp ratio, 32.5% for the first half. Would you say that's a good guide to be using for the full year and thereafter? Or if not, is there a sort of a better guide you'd have there? Secondly, do you have any update on the performance fee guidance for this current year? Sorry, you may have mentioned it. I might have missed that. And then lastly, one for Mark. Obviously, there's quite a lot of asset flow coming to the industry, as I'm sure you've observed. Do you think this is sort of realistically addressable for you as an active manager? Do you think there's a case that this money stays and can you address that? Or is this realistically money you can't really touch because they've gone passive. That's all they're ever going to be. Just curious on your thoughts on that.
Tom Shippey: Do you want me to answer the first two?
Mark Coombs: Yes.
Tom Shippey: So VC at the half year, always an accrual percentage. As we talk about every year, we top it up or we reduce it once we know what the full year result has been. So if we continue to deliver the strong levels of outperformance, we'll need to pay the investment team. There could be upward pressure on the 32%. If it falls off in the second half and the 12 months has not been as good and the distribution team doesn't continue to deliver the flows that we've seen in the first half, maybe there can be some downward pressure. It's an accrual at the half year. It gets determined by the remco in July once the full year numbers are known and understood. If you want an estimate for the full year at this point, 32.5% is as good as anything. But it will change come July. And then on the performance fees, I thought I made it clear. The guidance I gave in September was for up to GBP 5 million. The guidance I'm giving now is up to GBP 5 million, absent something being realized somewhere in the portfolio of private equity assets that delivers a fee.
Mark Coombs: And then the passive question. Some of it is permanent. I mean some of it, people will say, well, I'll just do passive. They definitely get a bit of that. Fortunately, for what we do, some of it isn't very well replicated by passive indices. But there are some people who are just obsessed with cost and will take sort of index drift from passive even if they haven't really thought it through. Money through consultants tends to not do that because the consultants have done an enormous amount of work in this because their initial thing is we should sell passive to some extent. Although, of course, they want a business. So they don't want to completely kill active so they can choose between managers. So some of it is permanent, I would say, particularly in the fixed income space, in the larger tighter spread stuff. Some of it is definitely a first thing to just throw the cash in before they find a manager. And I think that's always been true. For us, that's more of an issue for us -- again, this is a big generalization, but more of an issue for us in fixed income, I think, than in equities. Not that there aren't indices in equities and passive things to do, but just what we're doing tends to lend itself better to active. And we're taking market share from other actives. So we are in a different place than we are perhaps in some of the fixed income strategies. I don't know if that covers it.
Rae Maile: Rae Maile, Panmure Liberum. I suppose the only question that hasn't been asked about pipelines and flows is geography. Is there any sign that the Americans themselves are realizing they're a bit too long the dollar?
Mark Coombs: No, not really. I mean, well, that's not quite true. A little bit of retail. I mean Americans love equities. So we've seen a dribble now. I think I hopefully said this earlier. There is a bit of a dribble of American retail capital into the equity products. Nothing in bonds. And then institutionally in the States, not really. Again, a bit of equity. I mean there is a bit of an equity pipeline, but the pipeline we have is there's some U.S. but it's mostly non-U.S. There's some but it's mostly none. So they haven't gone, it's time to have less America. That whole story of getting them from 100% America to 90% America in the 90s, we're back in that game again. Nobody gets fired for losing a lot of money in buying the wrong American stock, but they will get fired if they buy Ukraine and Russia invades. But I think the conversations are still there, but the retail story is picking up. And the retail tends to be a leader. Institutionally some, but not a big wall yet. Anybody else? Okay. Well, thank you very much for coming. Happy to chat, if that makes sense. And we're hoping to see you again in 6 months. Hopefully, we'll have even better numbers. You never know. Thanks very much, everybody. Thank you.